Operator: Good day, ladies and gentlemen, and welcome to the Tutor Perini Corporation Third Quarter 2012 Earnings Conference Call. My name is Erin, and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Jorge Casado, Director of Investor Relations.
Jorge Casado: Good afternoon, everyone, and thank you for joining us for our third quarter earnings conference call. With us today from management are Ronald Tutor, Chairman and Chief Executive Officer; Robert Band, President; and Mike Kershaw, Executive Vice President and Chief Financial Officer. Before we start, I'd like to remind our listeners that information discussed during today's conference call, including statements about future guidance and answers to your questions, may contain certain forward-looking statements. These types of written and oral disclosures are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The company cautions that any such forward-looking statements are based upon assumptions that the company believes are reasonable but that are subject to a wide range of risks and uncertainties, and actual results may differ materially from anticipated results. These risks and uncertainties are discussed in detail in our filings with the Securities and Exchange Commission, including Tutor Perini's annual report on Form 10-K for the fiscal year ended December 31, 2011, a definitive proxy statement filed on April 19, 2012, as well as in today's news release. Statements on this call are made as of today, November 1, 2012, and the company undertakes no obligation to update any forward-looking statements made during the call whether as a result of new information, future events, changes in expectations or otherwise. With that, it's my pleasure to turn the call over to our Chairman and CEO, Ron Tutor.
Ronald N. Tutor: Good afternoon, and thank you for joining us. I'd like to begin with an overview of the company's performance and discussion of our Civil, Building and Specialty Contractors markets and opportunities. After which, I will turn the call over to Bob to discuss the Management Services market, and then Mike Kershaw will discuss the details of our financial results for the quarter. Overall, our third quarter financial results were in line with our expectations despite the delayed release of several awards and continuing weaknesses in our Building markets compared to last year. Since our last conference call, we have seen positive signs of recovery in our end markets. For instance, in our Civil markets, we were recently a low bidder on the $952 million East Side Access subway project for the New York City MTA. The East Side Access project will connect the Long Island Railroad with a new terminal beneath Grand Central Station. We are the managing partner of a joint venture with Schiavone Construction and Picone Construction. We expect the award of contract shortly. Additionally, we are close to a final award for the $235 million Verrazano-Narrows Bridge Upper Deck Replacement, and we are awaiting the decision for the recently bid East End Crossing P3 project, which we expect to receive from the owners on or about November 16. That project is valued in the area of $1.5 billion. With regard to the Tappan Zee Bridge project recently quoted because of the current status of the Thruway Authority's ongoing bid review and selection process, we are unable to provide comments or answer questions about the bid status or any communications between our company and the authority. In January, we will be submitting our bid for another major project, the first segment of the California High-Speed Rail, which will be valued at well in excess of $1 billion as part of 4 projects to be bid over the next 12 months, the value of which will exceed $5 billion. As a further aside, our low bid for the $239 million Chinatown Station project in San Francisco, which we discussed in the last quarter, will be rebid as a part of an $800 million construction project encompassing 4 stations instead of the 1 in downtown San Francisco. In the Building markets, we received several third quarter awards or notices of low bids, including the recently spoken to $181 million Graton Rancheria Hotel and Casino, a $73 million contract for the New York State University, a $63 million contract at Mississippi State University. In addition to other awards entered our backlog in the fourth quarter, a $120 million contract for private campus housing and a $94 million project at the University of California San Francisco Mission Bay. All of these projects point to the beginning of improvement in our Building markets, which we expect to see carry over into 2013 as the economy continues to recover. In Specialty Contractors markets, we are expecting the awards of 2 electrical signaling contracts for the New York City Transit Authority to our Five Star Electric subsidiary, totaling approximately $225 million, just recently bid. As you can tell, the bidding environment has been and continues to be extremely active across our businesses, and our project teams have been very busy bidding dozens of projects across the nation. We believe this bodes favorably as discussed previously, and with the abundance of major work to quote, we feel we will certainly achieve our share. Our total backlog at the end of the third quarter was $5.6 billion compared to $6.4 billion in the third quarter. The reduction was due primarily to lower backlog in our Building segments and, to a lesser extent, our Civil segments. The backlog mix this quarter was approximately 39%, Building; 30%, Civil; 26%, Specialty; and 5%, Management Services. New contract awards and adjustments to contracts during the third quarter added approximately $800 million to backlog. Currently, we have $5.7 billion impending awards, including $3.3 billion in mixed-use, $700 million in hospitality and gaming, $600 million in highways, transportation and mass transit and over $400 million in education. These awards are expected to enter our backlog over the next 2 to 3 quarters. Our Civil segment is performing well, and it remains our engine of future growth. This is the segment with by far the largest volume of significant project opportunities, which traditionally generates the highest margins. These large project opportunities have limited numbers of bidders with very high prequalification requirements. We anticipate the continuing high volume of these opportunities to go on throughout the remainder of the year and continue over the next 3 years as well. Backlog for the Civil segment at year-end was $1.7 billion compared to $2.3 billion in the same quarter last year. We estimate the size of prospective opportunities we intend to bid in our civil infrastructure market over the next 12 months to exceed $11 billion. In our Building segment, the most significant near-term growth opportunity remains the Hudson Yards development project for the related company and Oxford Properties in Midtown Manhattan, where we continue ramping up our work on schedule and are awaiting the finalization of significant additional project phases valued at more than $2 billion. Our current preconstruction work at Hudson Yards is progressing on a 30th Street residential tower, and we are hopeful that we will break ground in November on Tower C, an $800 million office building. Despite the lower levels of backlog, revenue and margin pressures in our Building segment caused by an extremely competitive marketplace, I'm pleased with the third quarter results and the continuing progress we have made in that segment. Favorable legal developments, improved claim positions and efficiencies realized on certain healthcare facilities helped produce good margins in the Building segment, and our Building business appears to be tracking a return to growth and profitability by the first quarter of next year. Backlog for the Building segment stood at $2.2 billion compared to $2.5 billion in the same quarter last year. We continue to track and pursue approximately $10 billion of targeted projects in our Building segment, bidding and proposing over the next 12 months. Our Civil and our Building segments continue to leverage our Specialty Contractors through our integrated approach to bidding and executing large-scale projects. Specialty Contractors segment was recently awarded a $143 million in new subcontract work, including more than 90% of which from external customers. Backlog for the Specialty Contractors segment at the end of the third quarter was $1.4 billion, up from $1.3 billion in the same quarter last year. Specialty Contractors segment has an active pipeline exceeding $6 billion that we'll be bidding over the next 12 months. Overall, our execution remained strong, and I'm optimistic about our long-term outlook with our existing backlog but most importantly, the volume of very significant large project opportunities that we continue to pursue. We believe that we are among a small handful of major U.S. contractors uniquely qualified and situated to bid and execute these mega-scale civil projects as evidenced by the always limited bid lists and repeat presence of the same 3 to 5 bidders on recent large civil procurements. Tutor Perini invariably serves as the managing partner in these joint ventures and on a smaller percentage as a secondary role. Now I'd like to bring Bob Band to share Management Services.
Robert Band: Well, thanks, Ron. Just looking at Management Services overall, in this segment, we're continuing to participate in 9 multiyear indefinite delivery, indefinite quantity contracts for several U.S. government agencies. The aggregate program value for these IDIQ contracts at the program level is in excess of $15 billion for all participants. These programs include the U.S. Navy MACC; design-build MACC for the relocation of the U.S. Marines from Okinawa to Guam; the U.S. Department of State worldwide construction contract for containerized housing and offices; 2 USAID contracts, 1 for vertical structures and another for water and energy, both in Afghanistan; a Central Command MATOC program for the U.S. Army Corps of Engineers Middle East District; the U.S. Coast Guard Department of Homeland Security MACC for their agencies, including FEMA and ICE; and the fish and water life service MATOC for the Department of the Interior and other agencies under that department; as well as a SATOC and the HERC contracts with the U.S. Air Force. We are also evaluating potential work opportunities in Okinawa as a result of the Navy, including Okinawa, under the previously awarded design-build MACC program. We are performing work under 8 of these IDIQ contracts currently and actively pursuing new projects under all of these programs, which provide us with greater visibility into our new work pipeline in 2013 and beyond. We estimate the size of prospective opportunities in our Management Services group target market to be between $2 billion to $3 billion for projects that will be bid and proposed on over the next 12 months. We continue to seek additional multiple award contracts from U.S. government agencies, both overseas and domestically, as well as pursue major full and open competitions in Iraq, Afghanistan, Haiti and other countries from various U.S. agencies. Work currently in backlog continues to produce solid on-target results. $120 million task order contract under the State Department's containerized housing and office facilities in Southern Iraq is achieving good progress, and a $75 million task order under the Navy MACC for an aircraft parking apron at Andersen Air Force Base is well underway. In Haiti, we are making good progress on a $12.7 million electrification project awarded to us by USAID. And in Afghanistan, we were recently awarded $105 million contract for the upgrade to the Southern electric power system, consisting of upgrades to an existing overhead transmission system and the construction of electrical substations in Afghanistan. In the U.S., we've been awarded over $30 million of contract completion work by our surety clients and, most recently, the National Park Service Award of a contract valued at $9.6 million to repair the earthquake damages to the Washington Monument. We anticipate increased activity in Haiti, Afghanistan and Guam, as well as increased assignments from our U.S. surety clients and multinational firms as well. Currently, we are looking at, in this quarter, over $1 billion of work opportunities to bid by year-end under the U.S. Army Corps of Engineers, MATOC. Now Mike will give you the financial details for the quarter.
Michael J. Kershaw: Okay. Thank you, Bob. Total revenue for the third quarter was $1.1 billion, a decrease of 6% compared to $1.17 billion in the third quarter last year. The revenue reduction was primarily due to last year's substantial completion of a large civil public works building project and 2 hospitality and gaming projects. Excluding the contributions from those 3 projects, our revenue for the third quarter 2012 would have been up 19% compared to the same quarter last year due to the continued progress on several large civil and building projects and the ramp-up of projects that were awarded late last year or earlier this year. Total gross profit was $115 million, a decrease of 4% compared to $120 million in the third quarter last year. Overall gross profit margins increased to 10.5% from 10.3% in the third quarter last year, reflecting some favorable project adjustments in the third quarter of this year. General and administrative expenses were $60 million -- $61 million, up 4% from $58 million in the third quarter last year. Income from construction operations was $55 million, a decrease of 12% compared to $62 million in the third quarter last year. Our operating margin was 5%, down about 30 basis points from 5.3% a year ago. Net income was $43 million compared to $35 million. The increased net income in the third quarter of this year was largely the result of a $17 million tax benefit that was related to the goodwill and intangible asset impairment charge that we recognized in the second quarter this year. Diluted earnings per share were $0.88, a 19% increase compared to 74% in the third quarter last year. But excluding the tax benefit in the third quarter of 2012, net income was $26 million, diluted earnings per share were $0.54. Revenues from our Building segment were $391 million, a decrease of 21% from $494 million in the third quarter last year. The decreased revenue came as a result of the reduced work volumes compared to last year when we completed the 3 previously mentioned large projects. The Building segment made progress in the third quarter of this year, generating income from construction operations of $21 million, an increase of 135% compared to $9 million in the third quarter last year. Operating margin for the Building segment was 5.3%, up from 1.8% in the same quarter last year due to, as Ron mentioned, favorable legal developments, the improved positions on certain claims and efficiency realized on certain healthcare facility projects. Revenues from our civil segment were $346 million, an increase of 25% from $277 million in the third quarter last year. The growth was a result of increased activity on certain tunnel projects on the West Coast and several highway and bridge projects on the east coast and in the Midwest that were awarded in 2011 and early 2012. The civil segment produced income from construction operations of $26 million, an increase of 10% compared to $24 million in the third quarter last year. Operating margin for the civil segment was 7.6%, down 100 basis points from 8.6% in the same quarter last year due to the substantial completion of several successful public works projects on the East Coast in 2011 and legal costs incurred during the third quarter of 2012. Revenues from our Specialty Contractors segment were $315 million, a decrease of 6% compared to $336 million in the same quarter last year. The revenue decline is attributed to favorable performance and several -- successful closeout of several projects in 2011, including a large volume of work performed on our large hospitality and gaming project. Income from construction operations in the Specialty Contracts segment was $14 million, down 57% compared to $33 million in the same quarter last year. Operating margin for Specialty Contractors was 4.5% compared to 9.9% last year. The reduced operating income and margin were the result of the favorable performance and closeouts on the specialty projects discussed earlier. Revenues from Management Services segment were $47 million, a decrease of 22% compared to $60 million in the same quarter last year. The decrease was primarily due to the substantial completion of an overhead coverage project in 2011 and reduced activity on a task order contract of containerized housing in Southern Iraq. Management Services income from construction operations was $3 million, a decrease of 47% compared to $5 million in the same quarter last year. Operating margin for the Management Services segment was 6.1% compared to 9%. The reduced operating income and margin were the results of the favorable closeout of certain U.S. Military facility projects in Iraq in 2011. Depreciation and amortization expense in the third quarter was $15 million. Interest expense for the third quarter was $11 million, down 5% compared to $12 million in the same quarter last year. As a result of the impairment-related tax benefit, we had a significantly reduced income tax expense of $2 million for the quarter compared to $21 million of tax expense in the same quarter last year. Excluding the impact of the second quarter impairment charge, our effective tax rate for the year is estimated to approximate 41%, which includes the impact of us working in higher state tax jurisdictions. Because of our third quarter performance, we are maintaining our outlook for the remainder of the year, and we are reaffirming our guidance of fiscal 2012 revenue outlook of $4 billion to $4.5 billion and diluted earnings per share, excluding the impairment charge in discrete items of $1.50 to $1.70. Looking at the balance sheet in September 30, 2012, our working capital stood at $639 million, including $181 million in cash and cash equivalents, up $82 million from $557 million of working capital at year-end, which included $204 million of cash and cash equivalents. Our current ratio increased to 1.48% in September compared to 1.4% at year-end. During the third quarter of 2012, the company generated $4 million of cash from operating activities compared to a use of $37 million last year. At September 30, our long-term debt excluding the comp portion was $637 million, which is an increase of $24 million from December 31, 2011. I will now turn the call over to Ron for closing comments.
Ronald N. Tutor: We continue to be pleased with our recent civil performance and growth and the opportunity for continuing building awards. The major Civil infrastructure markets continue to be extremely strong and really larger than we have ever experienced in the past 10 to 20 years, and we expect that trend to continue at least for the next 2 to probably 3 years. Building markets have been bouncing along the bottom of what has been a very difficult trough environment with not enough business and extreme margin pressure. But the good news is, that with some of our recent building awards and large pending new projects, it appears the opportunity is available to return our building businesses to their former profitability, certainly during the year 2013 with further growth expected in the years to follow. We are strategically levering our specialty resources, which continues to be one of our great strengths not just in its earnings, but also in its support of both our civil and Building markets, providing them with the kind of technical expertise that our peers simply do not have. As we continue to execute our backlog and pursue additional key projects, we continue to focus on managing our G&A. As we try to conclude the integration of our acquisitions and rightsize our businesses to work together with more of a centralized control system and reduction of G&A. This concludes our prepared remarks. We'll now ask the operator to open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of John Rogers from D.A. Davidson.
John Rogers - D.A. Davidson & Co., Research Division: I guess, first thing, is in terms of the legal settlements and project adjustments, can you give us an idea of the size of those or the impact in the quarter? Because it looked like the building margin -- segment margins and I know they bounce around -- above what's sort of have been historical trend levels.
Ronald N. Tutor: Well, we settled the Queens Ridge litigation and essentially prevailed, and that was a significant amount of money beyond our expectations. It was in the millions. We continue to win at every turn on the MGM case in court in our opinion. And we have set certain reserves for certain issues that have been judicially won in court, and we reduced those reserves, and that's pretty much it.
John Rogers - D.A. Davidson & Co., Research Division: Okay. And then my second question is in terms of the fourth quarter, the current quarter, your guidance is wide, but regardless suggested financial results should improve from even -- from what we saw in the third quarter, which is a big improvement over what we saw in the first half. I'm curious about what's driving that. I mean, is there a particular segment project closeouts that you're looking at?
Ronald N. Tutor: Well, we have historically always closed our projects very successfully at the end, and that does occur. And you all know that the civil and specialty group drives Tutor Perini. Management Services, although a great contributor in past years, has had a diminished role the last year or 2. And to say that our building businesses have not produced profits would be an understatement. So this company is currently driven by civil and specialty, and we just continue, as you've seen in the past, as we finish jobs, our results get better. It's a consistent pattern and that's about the only way I can explain it.
John Rogers - D.A. Davidson & Co., Research Division: Okay, and I guess last thing, if I could. Just on the Hudson Yards project. What's left there before you actually get to a signed contract?
Ronald N. Tutor: Well, we have a contract on the 30th Street residential. It's approximately $120 million. We're in the final stages of executing a contract on the $800 million Tower C, which really at any time this month could break ground. And we're very close on what's called Tower A, which is approximately $1.4 billion building, where there are certain discussions going on that I'm not at liberty to speak to, but could enable us to be in a contract mode in the first quarter of 2013.
Operator: And your next question comes from the line of Steven Fisher from UBS.
Steven Fisher - UBS Investment Bank, Research Division: Just on those things you mentioned, Ron, that were judicially won in court going into the building business profits for the quarter, was that all related to Harmon? Or were there other things?
Ronald N. Tutor: It's primarily Harmon. Secondarily, some reserves were some specific issues. It's not that much money to where you need to worry about it, but they were just reserves we had set up, and as those issues we felt were adjudicated with legal support, there was no reason to retain the reserve. If you're aware on the judge's current findings in court, which are a matter of public record, the trial has been going very well for us.
Steven Fisher - UBS Investment Bank, Research Division: Are these judicially -- judicial rulings, things that you expect to be challenged?
Ronald N. Tutor: I'm sure they'll appeal it, because it's basically very damaging to MGM. They're all truthful and bright on point and MGM's getting what they deserve. And they'll challenge it, but they're not going to reverse the judge.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then on the Hudson Yards, the $800 million potential booking, what still has to happen for that? I mean, if you expect to possibly break ground this month, what...?
Ronald N. Tutor: All that happens is we signed the contract that we're concluding and we physically break ground. It could be any time this month, but they hold the control to that.
Michael J. Kershaw: And I think the difference, Steve, on this one as we talked about is we've been working as if we -- the relationship with us is working all the pre-construction activity just as if we have a signed contract.
Ronald N. Tutor: And they are paying us for that. And it's to a point we've really manned up all the people to manage it. We're very confident on Tower C we'll break ground this month. We've taken subcontract bids. They've given notification of award. There really isn't much doubt. Hopefully by Thanksgiving we'll break ground on Tower C. It's not a guarantee, but it's at least our feeling.
Steven Fisher - UBS Investment Bank, Research Division: But you wouldn't break ground without a signed contract, right?
Ronald N. Tutor: No.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then I guess a similar question on Verrazano, what still has to happen to book that?
Ronald N. Tutor: Nothing. It's all gone through the process. We expect an award in either December, January. They're slow movers below, there's no problems. We've met with the agency, it's pure mechanics from here.
Steven Fisher - UBS Investment Bank, Research Division: Okay. And then given that you expect to return to profitability in the building business next year, I guess your overall confidence at this point that 2013 earnings for the whole company will be better than 2012?
Ronald N. Tutor: I would say so. The building business drove down 2012 so dramatically just returning to profitability will be a major impact.
Steven Fisher - UBS Investment Bank, Research Division: Okay, just the last question. Can you give us what the current portion of long-term debt was at September 30?
Michael J. Kershaw: It's about $60 million, it's less than that -- $63 million.
Operator: [Operator Instructions] Your next question comes from the line of Richard Paget from Imperial Capital.
Richard S. Paget - Imperial Capital, LLC, Research Division: I guess I would be remiss if I didn't ask a Hudson Yards project. Do you guys, as far as you can tell didn't get any setbacks from flooding or the hurricane that would cause anything to be pushed out?
Ronald N. Tutor: You know, the truth of it is -- this is Ron Tutor, I've been trying to get our New York office and our guys since Monday and I can't get anyone. You know, all the phones are out, the power is out, I can't get anybody in New York to tell me.
Richard S. Paget - Imperial Capital, LLC, Research Division: But I think you guys would have made that, what is 34 Street cutoff where the electricity was on or off?
Ronald N. Tutor: Well, our office is in New Rochelle, and that's out and they're very telling us it may not be for another week. I talked to both of our senior executives, Craig Shaw and Mike McLean, and they were both in Las Vegas and they're struggling just to get back into New York. I'm planning to go there, airports allowing me Monday or Tuesday, myself to see for myself. The good news is that no matter what damage there may be to our existing jobs, there is literally tens of billions of dollars’ worth of repair work that's going to be required that we think we should be a major recipient of. Particularly since we own by twice the size the largest electrical contractor in the city, and there's electrical power issues and wiring issues throughout the transit system, as well as virtually everywhere. The city is underwater. It's truly remarkable.
Richard S. Paget - Imperial Capital, LLC, Research Division: I'm across the river and I can't get over there either. On some of the other large projects, California rail, I was reading that they are planning on awarding that first half of next year, that first leg. Do you still think that a lot of people were thinking that, that's going to get challenged up in court by the environmentalists?
Ronald N. Tutor: No. I can't imagine having personally driven the entire right away. What possible challenge the environmentalists have is predominantly at grade disturbs very little. But people's buildings are getting torn down, which are not environmental issues. There are issues of damages and settlements with the state. So I mean, God bless our environmental community. There's an assumption to challenge everything, but I certainly don't know why this would be one.
Richard S. Paget - Imperial Capital, LLC, Research Division: Okay. And then so you guys were shortlisted for a DC rail project. What's the timing on that?
Ronald N. Tutor: I think they're issuing documents in December, January with proposals in April or May, but I'd have to talk our people back East. I've only -- I'm aware of it. I know we're bidding it, but I haven't seen the latest time frames.
Richard S. Paget - Imperial Capital, LLC, Research Division: Okay, and with the election coming up and hearing both candidate's platforms, are there any kind of binary impacts that you guys think on your either civil business or managed services? And then if sequestration -- if it comes to down to that, what other impact might we want to look at for you guys?
Ronald N. Tutor: Well, I'm a complete supporter of the presidential candidate that spends the most money on infrastructure, right, wrong or indifferent. And right now, the current President is pumping tens of billions of dollars into infrastructure on a course unparalleled. If God forbid, the Republicans win, I can only hope they're as knowledgeable.
Richard S. Paget - Imperial Capital, LLC, Research Division: Okay, and sequestration? Has anyone say anything about...
Ronald N. Tutor: I can't comment on it, not intelligently.
Richard S. Paget - Imperial Capital, LLC, Research Division: Okay. And then just to be clear with guidance, the tax benefit in this quarter is considered a discrete item and not included in there?
Michael J. Kershaw: That's correct.
Ronald N. Tutor: That's right.
Operator: And I would now like to turn the call over to Ron Tutor for closing remarks.